Ignacio Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2020 Fiscal Year Results Presentation. And secondly, we hope that you, your family, friends and colleagues are all safe and well during this global pandemic that we unfortunately have on us for almost a year now.  Now on to the reason we are all here, our 2020 results presentation, which will follow our normal format. Firstly, we will begin with an overview of the results and the main development during the period given by the senior executive team that we have usually with us. Our Chairman and CEO, Mr. Ignacio Galan; Mr. Francisco Martinez Corcoles, Business CEO; and finally, the CFO, Mr. Pepe Sainz. Following this, we will move on to the Q&A session.  I would also like to highlight that we are only going to take questions submitted via the web. So please ask your question only through our web page www.iberdrola.com. Additionally, we expect that today's event will not last more than 75 minutes, hoping that this presentation will be useful and informative for all of you. Now without further ado, I would like to give the floor to our Chairman and CEO, Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Ignacio Galan: Good morning, Ignacio. Good morning, everybody. Thank you very much for joining today's conference call. The global situation in 2020 was unprecedented. And Iberdrola has to respond to this environment, we're accelerating our business activities, our social contribution and in our leadership in the energy transmission. We maintained our service when it was most needed with a special focus on critical infrastructures. We have reaffirmed our commitment to a quick and sustainable grid recovery, and we have increased the company's growth prospects. This was only possible, thanks to the dedication and professionalism of our employees. My most sincere gratitude to all of them, especially to field staff. They all make Iberdrola best class group.  In this complex scenario, we have already delivered strong results once again. Reported net profit reached €3,611 million. Excluding the COVID-19 one-off effect, which amount €213 million, net profit grows close to 10%, showing solid underlying performance. Investment registered a new record of €9,246 million, up 13% compared to previous year. And we also set a new record of purchase of goods and services with €14 billion awarded globally. This allowed us to maintain the activity of our 22,000 suppliers to preserve the almost 400,000 jobs we support in our supply chains.  Adjusted EBITDA grew 8% to €10,750 million, excluding foreign exchange impact. We have also made positive progress on the implementation of our 2020-2025 plan, including the creation of new growth platforms that will accelerate results in the coming years. The company has also revised global leadership in green and sustainable financing with €24,500 million issued to date. This set of result has allowed the Board of Directors to propose to the Annual General Shareholders' meeting a dividend of €0.42 per share with an increase of 5% versus 2019.  2020 was an outstanding year for the company's intensive share performance, with Iberdrola's stock price outperforming the stock utilities by 80% points and the Spanish IBEX 35 by more than 40 points, driving a total shareholder return to close to 800% over the last 2 decades. Thanks to our pioneer business model based on values fully in line with the highest environmental, social and governance standards, a model that combines the creation of term value for our shareholders, our employees and the society.  Back to 2001, we anticipated the energy transition and understood the huge growth prospects of electricity consumption to achieve efficient decarbonization. Since then, we have invested more than €120 billion in renewable energy, smart networks and efficient storage, closing all our coal and field oil power plants well before our competitors. At the same time, we have started an ambition internalization process, focusing on countries with attractive ratings and ambitious climate policies, always maintaining our financial strength and operational excellence and our commitment with an increase in dividend.  These strategic pillars have led us to multiply our size by 6x becoming one of the 3 largest utility worldwide with more than €120 billion in assets and €74 billion of market capitalization by the end of 2020. Placing us in a unique position to accelerate growth on the coming decade, we have already the third record, the [indiscernible], the team, the technology and the financial resources to lead the green energy revolution. And we have a clear plan with investment of €75 billion up to 2025, €150 million to 2030. They will double our renewable capacity by 2025 and multiply by 3 in 2030, reaching close to 100,000 megawatts of capacity.  And increase also our network asset base by 50% in 2025, doubling it by 2030 to reach €60 million. A plant-based in doing what we do best in market in which we already had a strong position and diversified by land of project. Our target to reach €5 billion in net profit by 2025 and around €7 billion in 2030 with dividends reaching €0.56 per share already in 2025 and around €75 in 2030. In other words, our goal is to double the group's size and results once again in the next 10 years.  In 2020, we have been the first player deficit in execution of our plan. Even in the current condition, gross investment reached the record figure of €9,346 million, up 30% versus 2019 with more than 90% allocated to renewables and network business. Renewables was the main investment destination with 52% of the total, increasing more than 40%, thanks to the acceleration in onshore and offshore wind and solar PV project, mainly in Spain and United States.  Networks contributed 39% to total investment, mainly in the United States, U.K. and Spain. And as you know, in 2021, we will add the integration of P&L resources in the United States and Mexico utility and CIB in Brazil, the Brazilian Utility, to this organic investment driving further growth to our business. Adjusted EBITDA, excluding FX impact, was up 8% to €10,750 million, thanks to the performance of renewables and generation and supply, which in both cases, grew more than 10%.  Renewables EBITDA was driven by the contribution of new operating assets in all geographies like the Sanga One offshore wind farm in the U.K., higher production in the United States due to the higher availability capacity addition and more hydro production in Spain and Brazil. Growth in generation supply reflects lower procurement costs, thanks to price hedge and increased customer base and the positive impact of Smart Solutions, which already contributed more than €200 million to the group EBITDA and are growing rapidly in our market. Finally, operating result in networks reflect the impact of the transition of the regulatory period in Spain, more than offset the increase in results from the new rate case in New York additional emission project enter reviews in Brazil and the expansion of our U.K. regulated asset base. Consolidated EBITDA also reflect our geographical diversification with 76% coming from A rating countries like Germany, U.K., Spain, Australia, France or United States.  As mentioned, one of our main growth drivers in 2020 were the addition of generation capacity. Despite COVID restriction, we have invested -- we have installed 4,000 megawatt in the last 2 months, which around 78% of renewable. This means 2,190 additional megawatt leaving our total renewable capacity to 35,000 globally. Capacity addition include the remaining 50% of East Anglia ONE offshore wind farm in the U.K. has already become fully operational, 1,700 onshore wind, mainly in United States and Spain, 900-megawatt of solar PV in Spain and Mexico.  A new battery storage project, including the first phase of the 50-megawatt super battery at Wily Wind Farm in Glasgow, the efficient 25-megawatt batteries installing to the Lake Boned wind farm in Australia. The increase in share of renewables in our generation mix led to an 11% reduction of CO2 emission, reaching only 98 grams per kilowatt hour. This figure is between 2x and 3x lower than the last data published by the other two largest global utilities, [indiscernible] and well below the average of the sector in Europe, United States, putting us in the right track to reach our goal to offset emission in Europe already in 2030, 20 years ahead of European target and less than 50-gram per kilowatt hour globally.  As mentioned, meeting these targets will require reaching 60,000 megawatt of renewable capacity by 2025 and almost 100,000 by 2030. But we have the project to make it. Over the last year, Iberdrola has increased its byline in more than 25,000 megawatts to over 74,000, a high-quality portfolio diversified by geographies and technologies and fully current with our growth plans. By geographies, 1/3 correspond to European Union, 1/3 United States and remainder at 33% with respect of the other markets.  And by technologies, offshore wind already contribute to 22,000 megawatts with solar PV reaching 32,000 and onshore wind 16,000. With this pipeline, we have more today than 70,000 megawatts already under construction are secure. This represent 95% of the capacity planned for 2021 and '22 and 70% of the total target for 2025.  Offshore wind is the fastest-growing technology in our pipeline, providing us additional prospect in a technology in which we were pioneers over a decade ago. And it already contributes close to €600 million to our group EBITDA, up 72% in 2020, reflecting the higher EBITDA per megawatt of this technology compared to other renewables I was explaining to you in the previous presentation.  We already have closed 1,300 megawatt in service in the U.K., [indiscernible], East Anglia ONE and German [indiscernible] with availability and low factors about estimate in all cases. And for project under construction, on track to be commissioned up to 2025. Saint-Brieuc in France and Baltic Eagle in Germany, each of them with 500-megawatt. And United States, which add more than 1,600 megawatt. These 4 projects were obtained with 0 cost for CBET rights and all of them have PPAs or long-term contracts already signed.  Looking beyond 2025, we have 9,000 megawatt in offshore projects ready to build in the United States, the U.K. and Germany, again with CBET costs close to 0. And 10,000 megawatts under development in other geographies of Sweden, Japan, Poland and Ireland. Driving the 4x increase of this technology EBITDA by 2030 up to €2.3 billion and with additional upside expected the following decade. This growth is fully occurring with the global outlook of offshore wind one, 1 of the fastest-growing technology in the sector. Total capacity expected to reach 100,000 megawatt by 2030 from current 40,000. Our competitive project put Iberdrola in optimal position ahead of the auction expected in the coming 12, 18 months in markets like United States, U.K., Germany and France as well in Denmark, where we already have a joint venture.  But we -- but as the -- by President of the European Union said recently, without grid, there will not renewable growth. This is why we have always considered networks as they grow business, invest in it, both organically and through acquisition. As a result, our regulated assets reached €31.1 billion by the end of last year with a balanced geographical breakdown. And we expect further 50% growth in 2021, up to €36 billion. For an additional investment in all of our markets, mainly United States where we secured a new 3-year rate case in New York, they will make this state a new growth platform for the company with revenues of our New York utilities increasing by 8% already in 2021, an additional 13% between 2022 and 2023.  And from the integration of P&L Resources in the United States and CIB in Brazil. The regulatory proceed in the box transaction are progressing on schedule, and they have also received shareholders' approval. CIB will start contributing to year results from early March, and P&L resources transaction is expected to close it in the second half of the year. Regulated contact coming from these 2 transactions, together with additional retail customers in all our markets will add close to 5 million contracts during 2021 to reach a global portfolio of 48.5 million contracts by the end of this year.  Iberdrola customer base is increasing quickly in new markets like Portugal, Italy, France, Germany and United States. And in a new smart solution like in mobility, energy-efficient, self-consumption products that will accelerate growth in the coming years as a result of electrification and higher customer productivity. This value-added smart solution already contributed close to 4% to the Iberdrola Group net profit in 2020.  The need to decarbonated energy uses, they are difficult to electrify, is driving great growth prospect in green hydrogen for industries such as fertilizers and the heavy transport. Iberdrola is already leading development of this technology. We have more than 50 projects we could see a total production of 60,000 tonnes per annum and mobilize an investment of close to €2,500 million over the next years. We have already secured the Phase III project of all 10 starting this year. Puertollano 1 in Spain as part of our alliance with Fertiberia for decarbonization fertilizer production with grid ammonia. This complex will become as early as this year, the largest green hydro facility for NuStar in Europe.  We also have signed an agreement to bring green hydrogen to the Port of [indiscernible] in Scotland to decarbonize the manufacturer of the steel component for an industry such offshore wind. And also this year, we will start green hydrogen production with -- to supply the fleet of passage in Barcelona today appear in the media in Spain.  And as you know, we are progressing in our Iberlyzer joint venture to design and produce electrolyzes in Spain. I expect to update you on this project very soon. Given the potential of green hydrogen to [indiscernible] new industry and qualified along the value chains and the need to -- for support to accelerate its competitiveness, this technology is one of the key components of the Iberdrola proposal for the European Recovery Funds.  Including all areas, Iberdrola has presented 150 projects, the good mobile life investment of more than €21 billion, 2/3 can be already from Iberdrola, resulted in further opportunities on top of our 2020-2025 plan. This initiative will strongly contribute to the green and digital transitions, which, as you know, are the core of the next-generation program and the recovery transformation improvement of quality as well as the transformation of our economic model, making it more than resilient and competitive, generating 40,000 high skill jobs per year, creating growth opportunities for 250 small, medium and large companies, adding 1.5% to the Spanish GDP and improving our balance of payment by almost €1 billion.  Moving to the financial performance. Over last year, Iberdrola has continued reinforcing its strength driven by cash generation and balance sheet management. Operating cash flow reached €8,192 million, up 1.6%, improving our FFO to adjusted net debt ratio 190 basis points to reach 23.5%. Our liquidity exceed €17 billion, and we maintain full access to financial market in competitive terms.  Yes, Iberdola issued the largest green hybrid bond in history worth €2 billion [indiscernible] in July and the interim dividend of [indiscernible] share already paid, this amount leads to a total shareholder remuneration of €0.42 per share, 5% increase compared to last year, already above the floor established for the year 2022.  I will now hand over the CFO who will present the group financial result in further detail. Thank you.
Jose Sáinz Armada: Thank you, Chairman, and good morning to everybody. As the Chairman has pointed out, excluding COVID and FX, our EBITDA would have been €10.7 million, showing the real recurring performance of the business. Gross margin was down 0.7% to €16.1 billion, affected by €744 million of negative FX impact. Without this hit gross, margin would have grown by 3.8%. Net operating expenses improved 0.4% to €4.3 billion, €242 million positive FX impact more than compensates €49 million of donations and the increase of activity and consolidation of Infigen and Alto Power. Excluding the positive FX impact and an accounting reconciliation, not affecting the EBITDA, net operating expenses would have grown 3.5%.  Networks EBITDA fell by 9.2% to €4.8 billion, considering €111 million negative COVID impact on demand. Excluding €397 million negative FX impact, EBITDA reduced its fall by 1.7%. And in local currency, good performance in the U.K. and Brazil was compensated by the regulatory cuts in Spain and timing and storm effects in the U.S. linked to IFRS accounting. As you can see in the slide, Spain contributed 34%, the U.S. 23%, but it is expected to multiply by 2 its EBITDA in '25 being by then, the largest contributor, driven by new investments and the P&M integration.  Brazil reached 22% and 21% was the U.K. In Spain, the EBITDA fell 5.8% to €1.6 billion, affected by €$50 million of the remuneration cut and €82 million of positive impacts in 2019 related to the sale of a fiber optic and positive settlements. In the U.S., IFRS EBITDA was 17% down to €1.2 billion driven by €145 million negative temporary adjustments under IFRS as a consequence of differences in volumes and energy costs, together with the impact of storms. COVID effect on demand was $65 million and should be recovered from '21 onwards.  I want to stress that in U.S. GAAP, EBITDA is €252 million, higher than the IFRS EBITDA, and grew 7.5%. In Brazil, EBITDA grew 16.7% to BRL 6.4 billion, positive tariff revision in all distribution companies, increasing contribution from higher investment in transmission assets and cost contention due to efficiency plans have been partially compensated by BRL 147 million COVID impact.  Finally, in the U.K., EBITDA was 2.7% up to GBP 890 million with higher revenues both in transmission and distribution due to investments, partially offset by GBP 22 million less revenues due to COVID to be started to be recovered in 2022. Renewables EBITDA grew 8.4% to €2.6 billion. Total installed capacity grew 9% to 34,920 megawatts and production increased by 18%, driven by hydro and offshore.  As the Chairman has said, offshore wind already contributes €585 million to the EBITDA. In addition, load factor also increased 23.2% from 21% in 2019, partially compensated by a lower average price. I would like to stress the higher and increasing contribution of our international business and other €334 million to the EBITDA, driven by Infigen and Alto Power after growing 33% in Q4. In fact, our international business EBITDA will multiply by 3x, reaching €950 million in '25 due to the new additions and the offshore business.  In the U.K., EBITDA was 46% up to GBP 675 million, driven by the offshore business that grew to 131% as a result of the East Anglia production where its 740 megawatts are fully operational since mid-2020. In Spain, EBITDA was €698 million, 5.2% below last year, due to lower prices in sales to the supply business, despite 17% higher output, driven by a 42% higher hydro production as well as higher PV capacity.  In the U.S., EBITDA increased 2% to $676 million, caused by 10% higher output following 586 megawatts increase in operating capacity in the last year and higher wind resource, but negatively affected by lower prices and higher costs. In the international business, EBITDA grew 3.4% to €334 million, with increasing contribution from Alto Power and Infigen, but affected by nonrecurring development costs. In Brazil, EBITDA grew 19% to BRL 656 million, as output increased by 17% with 45% higher hydro output compensating the 6% falling wind.  Finally, Mexico, EBITDA grew 10.7% to $106 million, with 113 megawatts higher average operating capacity. Generation and supply EBITDA was 3.9% up to €2.6 billion, including €107 million negative COVID impact on demand. Business improvement in the U.K. and Mexico drives this growth. Smart Solutions contributed €220 million or 9% of the generation and supply EBITDA and will reach 16% of the generation and supply EBITDA by '25.  In Spain, the reported EBITDA was 5.7% down to €1.5 billion, but recurrent EBITDA was 6.4% up, excluding €87 million of LNG contract sales accounted in 2019 and a €95 million charge from the corporate for the first time in 2020 that does not affect the consolidated EBITDA as it is taken or reconciled in the corporate area.  In 2020, although we had 6.5% lower output, we had higher purchases at lower prices versus last year. In Mexico, the EBITDA grew 5.7% to $922 million, thanks to higher sales linked to the new installed capacity. In the U.K., the EBITDA grew 130% to GBP 222 million as a consequence of improved margins versus 2019 despite default in sales affected by COVID. Brazil added BRL 348 million to the EBITDA in the context of business normalization after the one-off negative effect and lower results in 2019. And the international business, EBITDA was already positive, €0.3 million, improving €25 million versus last year, but still affected by initial development costs.  We have reached 1.8 million contracts or almost 20% more than 1 year ago. EBIT fell 5.8% to €5.5 billion as provisions grew 42% after including €124 million of bad debt provisions related to COVID. €27 million in networks, mostly in Brazil, and €97 million in generation and supply to be managed through our commercial activity. Part of this cost will be, for example, recognized in the U.K. by [indiscernible] in its new tariff update.  In addition, amortization rose 2.6% due to the increase of the asset base and activity. Net financial expenses improved €309 million to €991 million, driven by €182 million linked to FX hedges and €122 million positive impact due to the lower cost of debt that improved 32 basis points to 3.18%. Average net debt remained stable at around €37 million, thanks to FX evolution and hybrid issuance.  Our reported credit metrics remained strong and in comfortable levels for our rating requirements. Our debt improves from €37.5 billion to €35.1 billion due to the €3 billion hybrid issued last October and FX gains despite increasing investments and the consolidation of Infigen and Alto Power. FFO adjusted net debt improved 1.9 percentage points to 23.5%. S&P relaxed the range from 18% to 20% to 17% to 20% the FFO net debt range after considering Iberdrola an energy transition leader. Our FFO net debt in their methodology will be around 18.5% in the middle of the range.  Adjusted net debt-to-EBITDA improved to 3.5x from 3.7x. Retained cash flow adjusted net debt improved to 21.3% from 20% levels. Adjusted leverage ratio decreased to 42.3%. Our expansion plan requires a conservative while active management of interest rate risk, aligned with our earnings structure. Currently, we have 71% of our group's debt at fixed rate and an additional 10% of future debt close through high interest rate forward. Our debt management adapts the weight of currencies and its interest rate structure to the cash flow generated by our business. We have mostly fixed debt in our U.S. business that it is a perfect pass-through on our regulated business, and most of our renewable business is based on long term PPAs, less so in euros due to the weight of the liberalized business.  In the U.K., our debt is more balanced at fixed, floating and inflation index according to our business profile, and the real is heavily inflation index as most of our revenues are linked to Brazilian inflation. Also, we have a comfortable financial needs profile with average debt maturity close to 7 years. As you can see in this slide, reported net profit grew 4.2% to €3.6 billion. Business growth in 2020 and Siemens Gamesa Capital gain more than compensated COVID impact in the year and the FX negative impact that was mostly hedged.  As a matter of fact, our adjusted net profit grew 9.7%, showing the strength of our business model. And now the Chairman will end this presentation. Thank you very much.
Ignacio Galan: Thank you, Pepe. Today's presentation refines the potential Iberdrola business model to deliver social value we need the most needed and to create sustainable growth and shareholders value. 2020 results confirm Iberdrola as an transition leader in the world of Standard & Poor's as Pepe mentioned. On the journey green measures, a company with a unique model, which combines a strategy fully based in ESG factor this anticipate sector trends two decades ago. A business portfolio fully current with energy transition and the green recovery, a long-term vision to grow over the next decade, an [indiscernible] record of strategic consistency in execution, insistent on track record strategy, consistent execution.  Following this model, we are now accelerating investment in lot of our businesses. In renewable, building on the greenest generation portfolio among the largest tile worldwide. Later, we added 2,800 megawatt to reach 35,000 capacity and we are doubling our capacity in the next 5 years, and we decline by 3 in 2030. Thanks to our pipeline of more than 74,000 megawatts, in which 70,000 megawatts are already under construction of secure. 1/3 of this pipeline correspond to offshore wind, creating additional growth opportunities for the technology that already contribute to already today 6% of our group EBITDA.  In networks, we continue expanding our regulated asset base up to €36 billion in 2021, reaching €47 billion in 2025 and close to €60 billion by 2030 with a stable and predictable framework in the U.K., Brazil and United States. And additional growth from the integration of P&L resources and the distribution company in Brazil. And finally, in Generation and Supply, we add 20 million new contracts in the next years with a growing additional new markets. Further opportunities for smart products as well as new solutions for industrial customers like green hydrogen.  This business portfolio will drive strong upside in the medium and long term. Our investment are focused only on growth business with more than 90% directed to power networks and renewables. And we have an optimal diversification with 76% of the EBITDA from [indiscernible] countries. In addition, 80% of our gross margin is secured, with 70% of our generation sold through PPAs on long-term arrangement. And 90% of our networks asset base with regulatory framework already fixed to 2023.  This business mix is fully in line with our financial approach, 71% of our debt has fixed hedge rates and average maturity of 7 years. Google have additional opportunities for increased climate ambition and the green recovery, especially in Europe. We have ahead us the largest investment plan in Iberdrola's history, and we will execute it following the same environmental, social and government principles. They have always been at the core of utilization in action.  We were the first mover in a clean energy revolution. The others are joining now. So we'll not have the write-off of cost associated with the commissioning of coal and oil power plant they could need to register. And we are an active agent in the transformation of our society, outstanding 400,000 jobs through our supply chains, thanks to the €14 billion we awarded in purchase the Woodson service last year.  Our governance sustainability system has received several recognition by prestigious bodies like corporate nights or the different institute continues to be upgraded to reflect the best practice in matters of diversity and inclusion. The result of these commitments are fully available to the financial community through our reporting and disclosure system which follows green and SASB standards and include the latest recommendation of the task force and climate-related financial disclosures.  To conclude, thanks to open model, Iberdola faced the future with a strong prospect in the short, medium and long term. We expect our net profit to reach between €3.7 billion, €3.8 billion in 2021, accelerating growth in medium-term to reach €5 billion in 2025 and the long-term to around €7 billion by the end of the decade. We are also reaffirming our commitment to visible and increasing shareholder remuneration. On the top of €0.42 per share for 2020, we are announcing today new dividend goals. For 2021, €0.44 per share. For 2025, we expect to reach €0.56, 40% more than 2019. And in 2030, with the ambition of paying around €0.75 per share, with miss an increase around 19% compared to 2019.  The opportunity is there. And Iberdrola stands ready to deliver once again the creative sustainable value for our employees, shareholders and society. Thank you very much, and we'll now answer any questions you may have. Thank you.
A - Ignacio Arambarri: Thank you, Chairman. First of all, I would like to point out that you have an annex in the presentation you have on your hands right now. It could provide additional information about the results of 2020. Moving to the Q&A session. The first question comes from James Brand, Deutsche Bank; Harry Wyburd, Bank of America Merrill Lynch; and Elchin Mammadov from Bloomberg; Javier Suarez, Mediobanca; and Jorge Alonso of Societe Generale. There have been some sign of significant competitive pressure in auctions so far this year, for instance, the low PPA prices in Spain and the high fees for SVT in England. Do you see this as a isolated incident or a sign of pressure to come?
Ignacio Galan: So I think I will respond first to the lease area in -- for the U.K. offshore. I was not surprised of the result. All company -- the oil companies will be ready to pay high prices. I was convinced that it did happen. Because they need to change their equity story. So I think they need to show to the market, they are really committed with that one. But I think my point of that even is not a surprise, I think it's not a surprise what they are already paying in certain -- for certain purchase of by line of certain parts of certain ready built the onshore wind farms. But they need to clarify their position. It makes no sense to pay high prices in auctions as they did and declare days after, there is a bubble in the sector. With that, I think probably they are generating.  In any case, I think if there are companies which have already been making write-offs of €15 billion, €20 billion. So I think it's not much to make already a relevant for them to make €1 billion more or less what they are already facing in this moment. I think as a company like Iberdrola, we are not already in such position. Our story is very clear for 20 years. We've already just invested a long time ago in those sectors. As I was mentioning in my speech, we have already a pipeline of 9,000 megawatt -- 19,000 megawatt of offshore with 9,000 is ready to be built, with CBET cost close to 0, giving us an optimal access to feature actions.  And the increase of the prices they already paid for the CBET increase our competitiveness to our existing pipeline, which I think that is important. I think if you evaluate how much is our, let's say, not 90,000, 9,000 was ready to bill. So you had already that 1 to put already the price pay for that one. We are talking about probably €1 billion value pipeline, which I think is a good news for us.  So moving to the Spanish auction. The first thing I would like to say, and I was insisting on that one, I was saying that the Spanish market was properly. I think -- I was saying the auctions, I think, is -- the government is higher respect the decision of the government. But I think the market is working properly. I think is -- and with auction, without auction, my expectation is the market fundamentals will remain similar. I think is -- we see during those days an increase in renewable production. I think this is already pushing the prices down. I think that was happening for the last two decades. I think when [indiscernible] in the company in the last 20 years. When there are a lot of hydro production, it was not already much win at the time, not 0 solar. But I think it's -- when they were already hydro production, the spot prices fall down, so which I think that continued working well. I think we are seeing those days in this manner.  So I -- but I think the auction, no auction, we have not seen any impact. We are not already expecting the fact. We have already considered all those things and this effect in our -- estimating our long-term plan. So I think we are considering that when they are already high production, the prices fall out and when there are no production, the prices went up. And I think that is considered in our estimates.
Ignacio Arambarri: Second question related to offshore win as well is coming from Rob Pulleyn, Morgan Stanley; Gonzalo Sánchez-Bordona, UBS; and Manuel Palomo, Exane BNP Paribas.  Could you provide an update on the progress of Vineyard Wind and offshore wind? Could you outline which U.S. auction this year you are confident Iberdrola can be competitive in?
Ignacio Galan: So we expect to receive the Boeing permit soon, probably, I hope probably in the next few weeks. With this, we plan to start the construction this year. We are already -- our plan is to have Vineyard Wind operational by 2024. I think the second news, as you know, that the PTC has been extended. So I think they will allow to receive 13% instead of 18%. It was already the previous plan. Additionally, we have already Park City Wind. It's another 800-megawatt because we have already the PPAs with Connecticut. That, I think, we are already working in the project. And we expect with today's best estimate and this plan can already start construction next year and to be operational in 2025.  We have another 1 which is [indiscernible], which is 2,000 megawatt. There is already -- we have already submitted the construction plan for -- to be already afterwards. And we have already -- on your point, we have already assumed 522 -- another 3,400 megawatt. We gave us access to the auction in the area this year. I think, as you have already seen in the presentation, there are already opportunities, new auctions in Massachusetts. They are already in New York, Connecticut and Long Island as well. There are a few of them, which are then the year, and we expect to be already competitive on all those ones and to gain one of those. So I think -- but we are optimistic about India and we have already -- we expect to be competitive in all sections, which is going to happen in the next few days.  You know then the Biden administration is very much focused in accelerating the construction of new offshore. So I think they have ambitious goals. In this sense, we are in talks with administration. And we feel that for accelerating that one, we'll be already needed and they are already aware on that one to increase -- to make already permitting more agile, to make already bigger auction to produce already critical mass to improve local value chains. I think is important and this equipment will be already produced locally as much as we can. And I think it's needed as well to have much longer visibility of [indiscernible] and now we stand up to 2026 but should be good.  And last one, I think something we can already diminish, the cost for the citizens, is the promotion of corridors for connection of the wind farm to the grid to improve the elite reduced cost. As you know now, each of the transmission, that is 1 of the areas which is already diminishing the competitiveness of certain wind farm is that each of the projects have to make their own transmission for connection from the -- to the main line. So they already generate -- they make already a proper corridor that can already help to make already much agile connection and much increase the competitiveness of the projects.
Ignacio Arambarri: There is an additional follow-up question on this offshore wind questions. And it's coming from the same people, Rob, Gonzalo and Manuel plus [indiscernible] from Vesting. What markets are you looking to further expansion in your renewables pipeline? And secondly, in which market do you expect to achieve higher returns in offshore?
Ignacio Galan: I think which market we are looking; I think I mentioned already. I think we have already auctions; we plan to -- the next auction we are planning to participate is in Britain, which is going to be held beginning of next year. What we are going to participate with our East Anglia ONE project, 3,000 megawatts. We are already ready to participate probably in this auction, probably no, sure in this auction, we held in the United States. They are already just an auction which probably we are going to participate in Denmark. They are already, let's say, in the next few months, in the beginning of this year, probably is going to be already an auction in Japan that we plan to participate as well.  And I think in Germany. In Germany, we have already our Baltic Eagle project, which we plan as well to participate in this 1 as soon as this will happen. I don't know if I miss anyone. Of course, in France, it's going to be as well as an auction this year that we -- as well, we are ready to participate. So Japan, Denmark, France, Germany, United States are the countries what we are already planning to participate in during the 18 months, and we are the people already in this moment are analyzing and designing the project to participate in those auctions.
Ignacio Arambarri: Next question comes from Javier Suarez, Mediobanca; Elchin Mammadov, Bloomberg; and Jorge Alonso, Societe Generale. What is your view on the perception of higher regulatory risk in Brazil and Mexico? How could this impact your investment decisions?
Ignacio Galan: So let's say -- let's start with Brazil. I think the power sector in Brazil, the regulation is very stable, very reliable. I think we've already seen during this pandemia was one of the countries who take the first action to provide already liquidity to the distribution companies with the contact of it. So we can -- we maintain a fluent and frequent dialogue with administration and with the regulator. And the moment we don't expecting change. I just seen this morning in the media that personally, that President Bolsonaro has provided -- has presented personally to the parliament the plan for the recapitalized eletrobras and he has already insisted that his Agenda Privatization is at full speed, so -- which I think is, no, we are not seeing changes.  Related to Mexico, I think is, as I said in all my speeches, we are not making the new policy. The new policy is made by governments. I think if the recent decision can potentially affect to all the energy sector, oil, gas and electricity, and not only that one. Also, they can already affect to industrial sectors because the energy cost is essential for their competitiveness. I think if the decision finally taking effect to the shareholding interest, we will analyze this and we take appropriate measures. In any case, what I can say is that all the -- our power plants, which are, as you know, most of them are leased to CFE, continues dispatching with normality. And those days also, I'm very pleased and has already been essential to maintain the service during this very extreme climatic conditions. So I think our conversation with them is fluent and I think the government is taking the decision, and I think that is normal in all countries, which I think they will -- they have the capacity and they have the obligation to make already decide the policy, the energy policy as they are obliged to make the decision in another sectors as well.
Ignacio Arambarri: Next question comes from Javier Suarez, Mediobanca. And it's related to the situation, weather situation in Texas. Can you give us some feedback on the situation in Texas and possible impact for AVANGRID?
Ignacio Galan: So as you know, we've been closely monitoring the situation, our wind farms in Texas. I think it's not normal that in the Gulf have already such a frost. And the frost, we were affecting to the blades of the wind turbines. But I think in this analysis, to give you some detail, our total power of Texas, wind power in Texas, we have a 4.2% of the installed power in the state. But even with those circumstances, our production has been already contributing to 7.5% of the total wind production those days.  So I think that means we've been producing more than expected and contributing to restore -- or to help to restore the [indiscernible] generated by the lack of gas. As you know, the problem there was already the lack of gas for the CCG teams. So it was not a problem of renewal, it was a problem of lack of gas, sending in Mexico, the problem, both the gas -- the pipes of gas was frost and they were not really -- the gas was not already arriving to the power plant.  So anything is, in global terms, we do not expect any negative impact. I would like to say, if any, will be positive. I would like to say that in these terms. And something which is important and is this situation shows the need of investment in networks, infrastructure, interconnection between the states. I think they are the neighbor states, therefore ready which we have present. We are going to be even more pressure in the future. Therefore, the excess of power those days that if we did, we already proper interconnection, the blackout we've had not already exist because they can already flow from a part to another one.  So I think that is something that in the state, I'm sure, the new administration is very much aware of that one. And they are going to do all the necessary for interconnecting more -- the different state interconnecting more with the neighbor countries, et cetera, et cetera.
Ignacio Arambarri: Next question comes from Alberto Gandolfi, Goldman Sachs. Can you elaborate on the timing of this €21 billion of projects for next-generation EU? What is the chance that all will be approved and how many of these are over and above your current 95 gigawatts target by 2030?
Ignacio Galan: So I think that is not included in our plan. I think that could be, as I mentioned, an extra thing is that happened. So I think in those ones, I think they are, I think, looking on the page, where is the -- yes. I think on the page number 62 and number 63, we have a detail of all those projects from floating offshore wind, pumping hydro storage, solar PV, onshore wind, wind blade. That is nice, wind blade recycling, which we are with many companies. [indiscernible] network batteries for certain areas. Heat and electrification, but we are not going to be already heating producer, but we would like to facilitate that to the citizens. And they are already some kind of subsidies as we are already doing at present with solar PV to be put it in the roof of the houses.  I think you have a lot of testing. There are areas like public charging, which we are already working, but we feel then that, that is going to be already need to be accelerated. So National Corridors for electric [indiscernible]. I think it's not -- the charges is nice to put, but without power behind, I think the charger doesn't work. And I think we need a huge power, especially in corridors if the buses and trucks are becoming more and more electrical. I think they are already certain truck manufacturers, which have already designed trucks. We think we'll have an autonomy in the range of 400 to 500 kilometers, which means that they have to be recharged within 40 -- 30, 40 maximum 1 hour. So it means huge power. They need chargers of 900-kilowatt each.  So I do have already just in an area, you need already several of those. So you need megawatts, several megawatts of power of grid power already install of that one. So I think here, you have the line. I think the others like green fertilizers, as you have already mentioned. Only with this, hydrogen is €2.5 billion, which I think most of it will be dedicated to full production of green ammonia with green hydrogen. So I think it's -- we have a big project in [indiscernible] for transforming all the production of fertilizers of Fertiberia in green and only that 1 require investment on the range of €1.6 billion or €1.8 billion, so which is a huge one.  I hope many of those can be already treated as a strategy for the country. And we will see. I think we are already providing ideas to the government, and if the government have to consider which 1 of those ideas are already suitable according with the national interest. But I think what is clear, what we had already presented, all of them are according with European rules. I think it's green, digital, and already affecting 200 of small, medium and large companies together with us, and they are already present in the 17 regions.  So I think that will be across the country, involving already hundred of small and medium large companies for making that happen and already according with the rules of European Commission, which is digital for sustainable and transforming the Spanish economy, not only to put all anything, which is going to be needed in the future.
Ignacio Arambarri: Next question comes from Alberto Gandolfi, Goldman Sachs as well and is related to, are the investments in green hydrogen all incremental versus your current plan? How do you plan to fund any CapEx acceleration, more hybrids, more rotation, equity?
Ignacio Galan: So I think that I'm telling you that it's already in line up to 100 -- to 2030, most of them. I think our panel hydrogen there to face with Fertiberia, I can say. One is immediate, which I think the first a hydrogen plant is going to be in operation this year in 2021. And other ones are not already included in the plan, and that is a mention additional opportunities. In the case of the Fertiberia, the large one, which is going to be already operational [indiscernible] by 2027. Not because we cannot make that earlier because they need as well to transform their production facilities and for making that -- they need already special timing for making that happen. So I think it's an extra, but the certain of them is included, and the rest will be already at the end of the year -- at the end of the decade, which are in their room for all those things enough.
Ignacio Arambarri: Next question comes from Rob Pulleyn, Morgan Stanley. Does Iberdrola need to own the supply chain equipment in hydrogen as it did in wind with Gamesa?
Ignacio Galan: So I think it's -- we are already facing 1 point. I think when we try to make the first hydro power plant, we have a limitation. The largest electrolyzes that can be installed is 20 megawatts. I think we are looking across the suppliers. And I think most of them, they are already making a small one, 1 to 5 megawatts. And only a couple of them they say that they will be ready to make 20 megawatts. I think that is going to be the largest or the largest. But we are talking about electrolyzes we have to be in the range of 100, 300, 400, 500 megawatts. And nothing for that is needed already to make a difference in.  If you would like to compare with Gamesa, perhaps it's the same thing. When I came to the sector 20 years ago, the turbines were in the range of 300 kilowatts. And I think the first one we produced was in the range of 800 kilowatts. Today, the turbines are -- for onshore, the standard is 4 megawatts and the offshore, we are in the range of 13, 15-megawatt each. So I think heat is needed something like. And I think we see the opportunity to try to make -- to help already and to use already these opportunities for Europe to make already as an industry, which in Europe can already design and manufacturing already this electrolyzes the size that the hydrogen demand will require for the future.  So I think that's why we made this joint venture with are -- we made the joint venture with a Spanish company, which is in [indiscernible] for generative [indiscernible]. We probably is going to be joined in the next few weeks, soon another international partner, which as at present producing those ones.
Ignacio Arambarri: Next question comes from Jorge Alonso, SocGen. What EBITDA can we expect, no storm included, for the U.S. networks? Would other rate cases be negotiated, including the improvements made in New York? Do you expect an increase in the average cost of debt in the U.S. due to a recent move in bond yields?
Ignacio Galan: Where the EBITDA we expect in 2021. I don't know the numbers, but probably it's in the range of €1.3 billion, €1.4 billion. I'm not sure the number, but we can provide the numbers. But I think in my mind, it's something like that one -- but we can -- but I think probably on this one, €1.3 billion, €1.4 billion, which I think is 20% or 25% or 30% more than previous year, thanks mostly to the New York case, which is now its full year and last year was only from April or from May.  And I think also, I think always we put in our budget some amount already for standard stones, which I think is -- those stones, which are not already -- which is going not to be collected. I don't know the number of this strong. But I think in terms of EBITDA, let me remind that is a growth in the range of 25% to 30% growth, mainly due to a new rate case of New York.
Ignacio Arambarri: Next question is coming as well from...
Ignacio Galan: Please. Well, and that is not contemplated for the time being any contribution of P&L. Then probably, depending on the amount, they can already add something to that one. I think if it's in December, we'll not have much. But if it's in August, they will add half a year. So I think that is not contemplated in these numbers. Of course, I think the expectation is there can be, I hope, to be better if we can already obtain the permit much earlier.
Ignacio Arambarri: Jorge Alonso is asking, from SocGen, for -- if we expect further improvements in the U.K. supply unit.
Ignacio Galan: So we are already, last year was -- the result was better than the previous one. This year, the yield we have already a positive. I think is the fact that the regulated tariff has already included not only the costs which are related, but as well, part of the extra cost generated during 2019 -- 2020, because of the COVID, has not been already registered. That is a good news. I think the situation in Britain is crazy in retail. I think I don't know how many dozens of retail companies has already been in Chapter 11. I think every week, they are already new supply company which is already just failing and we are forced, the existing distribution retail companies, to absorb the customers with one day to another one, they are without supplier because they are in the rush. They -- we cannot already digest.  So that's why I think I understand that the regulator is aware of this situation, and they will be managing things in a manner that we make already improving that one. I think with those things, our expectation is that our EBITDA in retail business will increase heavily this year in numbers. I don't know with number, but heavily, as they did last year as well.
Ignacio Arambarri: Next question comes from Elchin Mammadov. How do you expect retail energy supply margins to evolve in your key markets, particularly as new entrants like gas and oil companies keep gaining market share from incumbents?
Ignacio Galan: Well, as said, always, the competition is welcome. So I never had afraid of competition. I think, as I mentioned, in the case of oil and gas companies with the offshore auction for CBET, I think that's not bad for us. That's good. I think if they pay a huge amount of money that put more value to our existing pipeline. So I think if they come here, they come to the market and they make crazy teams. I didn't have to respond to their shareholders as well. So what I can say is then what we work is to be more efficient, more efficient, more efficient, to get better service to the customer, better service to the customer, to provide new solution, new solution and another new solution. And it's needed to compete. I think it's welcome competition. I think I was telling you that in the nonenergy product, what we call Smart Solutions, are already contributing for more than €200 million to our net profit this year, which I think that is already affecting.  The second one is that mostly all our electricity for the year is all and almost most of the electricity next year as well is solar, you see already in the next. So which I think is -- and the prices are really similar of those that we've been already selling at present but welcome competition.
Ignacio Arambarri: Next question comes from James Brand, Deutsche Bank and -- question related to P&M deal. Are you able to share any estimate for synergies from the P&M resource acquisition?
Ignacio Galan: No. I think, as you know, I think that was already a transparent transaction. I think we have no taxes still to their internal detail. I think it was already just based on the public information. I think in our 2021 pie, it's not considered any synergies because we don't know the details internally [indiscernible]. So there can't be a part of those one, which is already -- which are public. I think its synergies happen. It will come in the medium and long term while we integrate the teams. I think it's -- for us, the urgency now is to have the permit and to -- once we have the permits to make already a fast integration as possible, which always is integrate team, integrate system, integrate process. And once we have integrated all those one is the time to start already seen if they are already potential synergies. Of course, then we are going to look for that one, but that is not something which is immediate and certain, it's going not to be already in the short-term because we need first to integrate the team, the system and the processes.
Ignacio Arambarri: Next question probably is already answered, is coming from Harry Wyburd, Bank of America Merrill Lynch, but I'm going to leave you here. Your recently announced projects floating offshore utilizing EU stimulus fund already included in your autumn CapEx plan or are the project opportunities from these stimulus providing bigger than you expected?
Ignacio Galan: Well, I think I provide you the list of projects, and we have already just requesting this stimulus funds and plans. But I think if there are any potential additional opportunities, we are with many and other companies. Those projects we presented at projects in what we are leading. There are another project we are participating, but we are not leading. There are many, many and other ones. I think in some of those, and we are participating, not as leader but as already partnered on that one. If that already -- the leader is already obtaining the support, in that case, I think, will be a -- some extra thing. But I think it's important. I think we are open, that one is a unique opportunity for Europe for transforming our economies and transforming our manufacturing system and our production system.  And I think that's why we are good industries in different sectors, [indiscernible] we are then a part of those ones with the you have already in the next, which are projects that we have already presented, leading ourself with another 300, 350 companies which are already as well with us. In another month, we are with them, but we are not leading those ones. I think it will depend of these people to take already, to gain already the project and to be accepted the project by the local authorities.
Ignacio Arambarri: Next question comes from Manuel Palomo, Exane BNP Paribas. Could you give us an update on the evolution of clients in the Spanish electricity segment in 2020 and expectation for the 2021-2025 period?
Ignacio Galan: In Spain?
Ignacio Arambarri: In Spain, right. Pepe?
Jose Sáinz Armada: Yes. Well, starting with electricity. We see a flat portfolio. So we will not foresee to increase our portfolio value. We will see to maintain, to keep it in around 11 million customers. And -- but on the other hand, concerning the Smart Solutions, we foresee an increase of about 30% because we are now more or less around 6 million customers, and we forecast to have about 8 million by the end of 2025 and around 9 million or even more to -- by the end of the decade. So that gives you a flavor of how this will evolve.
Ignacio Arambarri: Next question comes from Martin Young, Investec. Please, can you expand on your thinking around whether you will accept the Ofgem RIIO-2 package for Scott power transmission or refer to the CMA?
Ignacio Galan: So I think I have to say that many, many things have a changed in the [indiscernible] since the first proposal. I think substantial improvement has been already made by the -- of June on that one, especially in terms of the low CapEx and in certain incentives as well. But the rate of return still are low. And I think we are analyzing potential CMA appeal. I think we need already stability, predictability and attractive return to mobile -- sorry. I don't know. Sorry. I think -- I was saying, I don't know you're hearing to me. So I said substantial improvement has already happened since the first proposal [indiscernible], especially in CapEx and incentives.  But I think our point is that rate case, the returns still in our opinion, are low. And that's why we are analyzing a potential appeal to CMA. I think something which is crucial on this sector is we need already stability, predictability and attractive return if we would like to mobilize the required network investment for electrifying economy. Our business network's life is over 40 years. I think we cannot already take decisions if every 3 year, 5 years or whatever. They take a decision to change drastically the returns than we were expecting when we made the investment.  I think, in my opinion, the British government policy is very clear in this respect. They are very much in favor of climate policies to reduce emission, to make the country the greenest of the greenest and to benefit of the investment they can already make for the wealth of the country, especially in these times, what is needed already, things for accelerating the economic recovery. But I think we need [indiscernible] for that one. So I think [indiscernible] the government and regulators. If the government would like and the investment we'll make in a hurry, I think regulators to provide the necessary means for making that happen.
Ignacio Arambarri: Second question from Martin Young, Investec. What impact have you seen in the U.K. supply business from the high prices in January, February in the Great Britain balancing market?
Ignacio Galan: From?
Ignacio Arambarri: Second question from Martin Young, Investec. The impact in the U.K. supply businesses.
Ignacio Galan: Yes, yes. Well, I think it's -- that is a very, very low impact for us. I think it's probably, I don't know, €15 million, €20 million of purchase of production, reasonable production. So it's not much. So irrelevant numbers.
Ignacio Arambarri: Fernando Lafuente from Alantra. He's asking about the net debt by the end of the year expectations.
Jose Sáinz Armada: Yes. Basically, we are expecting the net debt to be slightly higher than the net debt at the end of this year, around €36 billion, excluding the increase due to the P&M acquisition, we and the SEB acquisition. With all this taken into account, P&M will take around €7 billion of additional debt and P&M around €400 million. So we are talking around if the two things, as expected coming into our balance sheet, we will be having, at the end of the year, our debt of around €43 billion.
Ignacio Galan: And in terms of EBITDA, I think we are already happy with the consensus. I think and the numbers of the consensus around these numbers. So we are already happy with these numbers.
Ignacio Arambarri: Okay. As committed, after 75 minutes of conference call, we are ready to conclude it. Please let me now give the floor to Mr. Galan.
Ignacio Galan: So thank you very much taking part in this conference call. Let me remind you that, as always, Investor Relations team will be available for any further information or detail you may require. Thank you very much for your attendance, and I think we'll see you soon. Hope. Thank you.